Antoine Frérot: Thank you. Good morning, ladies and gentlemen, and welcome to this conference call on the Veolia H1 2020 results. I will present these results with Estelle Brachlianoff, our COO; and Claude Laruelle, our CFO; and we will then take all your questions. Before starting, please note that the conference call will end at 9:00 sharp as EDF has agreed to slightly postpone its H1 call so that analysts and investors following both stocks can listen to the 2 calls. I will start by the key highlights of the first half, obviously marked by the COVID outbreak. And I am on Slide 5 of the slide show. A large part of Veolia's activities has proven resilient, such as essential municipal services, but other businesses have been more impacted, such as C&I waste or construction works or industrial maintenance. Our reaction to the outbreak of the crisis was swift, comprehensive and efficient. An adaptation plan was immediately put in place, targeting €200 million of additional cost savings in 2020 on top of the existing €250 million efficiency program for the year. The great success of this plan at the end of June has enabled us to increase it to €250 million. Recovery began in May and was very strong in June, with June revenue reaching 97% of June 2019. Savings on overall CapEx have also been decided, but all development CapEx have been maintained to fuel our expected growth in the years ahead. Moreover, Veolia enjoys a very strong liquidity position. With this very encouraging end to the semester, we aim to recover our 2019 level of operational performance as of Q4 2020. More details on figures on Slide 6. Revenue in H1 is down by 5.6% at constant scope and exchange rate. That is minus €912 million, but only minus €88 million in the month of June. EBITDA is down by 17% in the first half or minus €403 million, but only minus €27 million in June. This EBITDA decrease goes down to current EBIT and to current net income, which stood, this current net income, at €7 million in H1. Thanks to CapEx savings and working capital improvements, free cash flow is down by only €40 million compared to H1 2019. And then finally, net financial debt is down, down by €600 million, compared to last year. During the crisis, and I am on Slide 7, the group provided the full range of its essential services in all its geographies, including in the most affected countries, while offering maximal protection to all [indiscernible] of our employees who were at their workstation every day. We also reassured all of our other employees, enabling them to come back to their place of work as soon as possible. And this policy has been very well received, enabling the group to quickly return to a nearly normal activity rate. Moreover, the very swift rollout of the adaptation plan has allowed us to generate €120 million of savings at the end of June, of which €50 million have come from the government's job support schemes. These quick results have enabled us to increase the initial target of savings coming from this adaptation plan from €200 million to €250 million in 2020, and Estelle will give you details in a few moments. We also decided to reduce our overall CapEx by €500 million during the year, which has already gone through in H1 and protected free cash flow. On the other hand, as already mentioned, development CapEx have all been maintained, even if some had to be postponed by a few months due to the sanitary crisis. And this development project will fuel the good growth as of next year. These development projects are summarized on Slide 8. They're related to new discretionary growth CapEx devoted to increasing our hazardous waste treatment capacities in China, in the Middle East and in Singapore as well as our plastic and organic waste recycling capacities in Asia. They also include acquisitions in hazardous waste activities in the U.S. as well as new water, waste and energy developments in Central and Eastern Europe. You see on Slide 9 the group's achievements of our 2 cost-cutting plans. The usual efficiency program, targeting €250 million in 2020, is on track at the end of June with €131 million achieved in H1. The additional adaptation plan achieved €120 million of new savings at the end of June, of which, as already mentioned, €50 million coming from government job support schemes put in place in various countries where we operate. This quick success has allowed us to increase the target from €200 million to €250 million. A portion of these savings will be recurring beyond 2020. In total, in this very special year 2020, Veolia's cost savings will reach more than €500 million. Estelle will now summarize the main impacts of COVID on our operations. Estelle, the floor is yours.
Estelle Brachlianoff: Thank you, Antoine. I will now give you a little color on the impact that COVID has had on our various geographies and various types of businesses and on the way, we had reacted both quickly and strongly. On Slide 10, you will see that the vast majority of our geographies have shown good resilience. Asia and Latin America has kept growing, although at a slower pace due to some project delays. Japan in particular has enjoyed 8.8% revenue growth, thanks to a very strong municipal water business and new industrial water projects as well. For other regions, rest of Europe, Africa and Middle East, Pacific and North America, have resisted well, with very slight revenue decline between 1% and 2%. In the U.S. for instance, net of the recent sale of our district heating business, revenue is down by only 1.6%, thanks to a very solid hazardous waste activity and resilience in municipal water. France remains the hardest hit due to a very strict and long lockdown, but has enjoyed a vigorous rebound since June. I will now talk on the impact by business, starting with municipal water on Slide 11. Altogether, this activity has proven its resilience with a very limited drop in water volumes compared to last year. In France for instance, volumes have been flat. We have seen lower volumes in cities such as Marseille in the south of France, which have been offset by stronger ones in our main other cities. Same situation in Central and Eastern Europe, where a lower volume in the Czech Republic due to lack of tourism has been offset by increased volume in the other countries. The situation is obviously very different in our construction activities as shown on Slide 12. Those were suddenly and massively impacted by the lockdown as most of our works were simply stopped. We adapted our way of working to social distancing requirements, and we were able to convince some customers to reopen, leading to a massive bounce back in activity. As we speak, our activity level is even slightly higher than last year with some catch-up effects. Solid waste now on Slide 13, and altogether, quite different situations. Starting with our collection activities first. As expected, municipal collection has resisted well. On the other hand, commercial and industrial waste collection has been heavily hit by the lockdown, but the rebound has been massive and quick since June, as you can see on the graph very clearly. France and Germany are back to 100%. And the U.K., which entered and exited lockdown later, is back to 80% as we speak. As far as treatment is concerned now, priority has been given to our incineration facilities. And we've been able to maintain utilization rates above 90% in all our geographies through the crisis. In terms of landfills, after a significant decrease during the lockdown, with construction waste missing in particular, volumes are back up to more than 90% of 2019 volumes in June. Last but not least, in terms of pricing, I'm very pleased that we've been able to maintain our pricing strategy all the way through. Moving to hazardous waste now on Slide 14. Our solid and balanced portfolio of industrial customers enabled our activity to hold up well. Revenue was down by only 3.5% in H1, with EBITDA margins maintained at above 15%. I'm very pleased to see that volumes are now back to a level of almost 95%. Switching to district heating now on Slide 15. This activity is very resilient. And this was fully confirmed in H1, as you can see on the graph as well. On Page 16, to summarize, most of our activities have shown good resilience in the past few months. For those that were most affected, the rebound has been quick and massive, thanks to our swift and effective response. To mitigate the impact of the crisis on our results, we immediately introduced a specific Recover and Adapt Plan, targeting additional cost savings of €200 million in 2020. I'm pleased that we were able to deliver €120 million in additional savings in H1, which enables us to increase this target to €250 million now. Of course, this adaptation plan includes some one-off initiatives such as furloughing or travel bans and a recruitment freeze, but some more sustainable measures as well. For instance, the digital transformation of our operations has been accelerated and we won't go back to preexisting methods. Just to give you a few examples. We have adjusted our maintenance plan to adapt to a reduced level of activity and totally redesigned our shutdown plan for the next 18 months. Digital payments of water bills has become the norm in many new countries. Artificial intelligence are supporting our fleet management in order to adapt our daily rounds to customer needs. Basically, we're seizing every single opportunity to learn from the crisis in terms of operational performance, digital solutions and so on and so forth, so as to be sleeker and more agile going forward. It's difficult to assess already the exact split between what is one-off and what is recurring, but I believe that roughly 1/3 of those measures could generate recurring savings. Those recurring savings will help offset the few percent points of activity that may still be missing at year-end, allowing us to target the same level of performance at year-end as in 2019. Back to you, Antoine.
Antoine Frérot: Thank you, Estelle. And to conclude this presentation of the key highlights, and before handing over to Claude who will give you all the details, Slide 17 summarizes our objectives for the rest of the year. With the strong rebound of our activity in June, we aim to recover our 2019 level of operational performance as early as Q4 2020 in the absence of a second wave of the sanitary crisis. We would then be in a position to begin 2021 having offset all the consequences of the COVID crisis and to pursue our strategic plan, thanks to the maintained development CapEx. Indeed, the sanitary crisis has, by no means, done away the global ecological emergency. And the strategic program which we presented to you last February, Impact 2023, remains completely relevant. Veolia will in fact be ideally placed to benefit from the stimulus packages underway in many geographies, a significant part of which will be dedicated to the ecological transformation. And this is exactly the goal we have set ourselves with our Impact 2023 plan: to be the benchmark company in the world for ecological transformation. This ambition is more timely than ever. Finally, let me remind you on Slide 18 that this ambition is based on our enlarged vision of our company's usefulness to society as expressed in our corporate purpose. This vision of a multifaceted performance that benefits all our stakeholders will translate into measuring financial and nonfinancial objectives on which the bonuses of our executives will be based. All of these objectives focusing on what we bring to shareholders, employees, clients, the planet and society at large, as shown in this chart, which was also presented to you last February. This broad and extended vision of our group's usefulness and betterment is, in my mind, more appropriate and realer than ever in the new economic environment and Veolia will honor its commitments. And I now hand over to Claude for the details of our first half. Claude, the floor is yours.
Claude Laruelle: Thank you, Antoine. And good morning, ladies and gentlemen. I'm on Slide 20. As Antoine told you, the H1 performance has been marked by the COVID outbreak impacting first the revenue, especially in Q2 after the €192 million that we presented for Q1 revenue, which is down by 5.6% at constant scope and Forex in H1, with pretty much the same level of EBITDA to revenue impact as Q1. As a reminder, when we lose during the lockdown €1 million of revenue, we lose 40% to 50% of that amount in EBITDA. Therefore, EBITDA is down by €403 million compared to last year or minus 17.3% at constant scope and Forex. Current EBIT at €438 million is down slightly more at €419 million versus last year. This slight increase is a variation in absolute value due to the COVID impact on our JVs for €16 million. That leads to a current net income group share which is positive at €7 million for the first half, which is encouraging for the second part of the year. Net industrial CapEx has been well managed by our BUs under the framework that we have put in place with a Recover and Adapt Plan. Therefore, the H1 CapEx are limited to €873 million. And we will achieve the CapEx reduction of €500 million that we have committed to, which means full year CapEx of around €2 billion. Thanks to a very focused and disciplined management of our cash and a better level of our working capital, the net debt is much lower than last year at €11.8 billion. Finally, Forex was not favorable in Q2, with the total impact for H1 that you can see in the table on the right-hand side of the slide. This is due to the fact that the euro is stronger in relation to many emerging currencies, especially in Latin America. I'm on Slide 21. Let's focus on Q2 numbers in the table. Q2 experienced a significant decrease in all our geographies, starting by France, minus 16.1%. Water volumes were stable, but works were down in April and May, as Estelle told you, and are fully resuming as we speak. Waste volumes hit a low point in April with C&I at around 50%, followed by a strong recovery in May and June. June trend was much better with full -- but full volume was still missing. We also experienced some waste inventory release in June, which helped the monthly volumes. Regarding rest of Europe, minus 6.7%. Central Europe was the most resilient geography because of its energy and water business. Waste volumes were lower in the U.K., Germany and Northern Europe, but are recovering since April. And June, as you can see on the slide, is well oriented, plus 0.2%. For the rest of the world, minus 5.7%. It's a mixed bag. The segment is impacted, of course, by the disposal of our district heating in the U.S. last year. Asia had a better Q2 than Q1 with a business which is back to normal in June, but as we told you, some developments have been delayed. LatAm is still dealing with the virus as we speak. Global businesses are down by 20.8% in Q2. This is due to the very strong hit in April and May on construction activities, the temporary lack of volume for hazardous waste activities in Europe and the reduction of industrial services. As you can see, due to the efforts that we have made to resume construction works in France, the segment is almost back to normal in June, with a minus 2.3% compared to last year. Overall, Q2 is at 89% revenue compared to last year and June shows a strong move upwards at 97%. I'm on Slide 22, where you have the revenue bridge. As I said, the Forex had a negative impact, 0.8% negative on revenue during the semester. The scope effect is mostly the divesture of the district heating in the U.S., partly compensated by tuck-ins closed over the last 12 months. You can see on the slide that the major impact, of course is the volume impact for minus €813 million, which is entirely due to the COVID effect. The weather impact is significantly reduced compared to Q1, minus €2 million in H1 versus minus €30 million in Q1, thanks to the cold weather in Central Europe in April and May. Regarding recyclates, paper was a good surprise in Q2 due to the lack of paper collection and a robust demand from the industry. Since the peak in April, the paper prices are now normalizing, but it was not enough to compensate for the Q1 price decrease. A source of satisfaction, we have been able to maintain a good level of price increase despite the crisis and the volume drop in Q2. This is reflected in the price effect for plus €143 million. I'm on Slide 23. You can easily see that the impact of the most affected segment in our activities, which is commercial and industrial waste. To give you an order of magnitude, C&I waste collection and treatment represents roughly 40% of our total waste activities. As you can see on the slide, the total waste volumes are down by 14.7% in Q2, which reflects the impact of the lockdown on C&I waste in Europe. On the price side, Q2 price increases remained strong at plus 1.9%. As I said, we are very disciplined on waste pricing. Regarding the geographies, France has restarted its 14 facilities in May and kept a high level on incineration volumes as Estelle told you. The U.K. did not stop its operation at all. Incinerators producing most of the margin remained full in Q2, but the U.K. experienced a drop of landfill volume and on C&I collection. Asia hazardous waste is back to normal in June. And the U.S. was impacted by the lower activities from the refineries, partly compensated by new business. Hazardous waste Europe is recovering sharply after a low April, now above 90%. In total, our global hazardous waste revenues are down by only 3.5% in H1 year-on-year to €1.2 billion. I'm on Slide 24. As you can see on the slide, EBITDA variation can be explained by 4 main items: scope effect, minus €37 million, due to the disposal of our district heating business in the U.S.; scope effect -- volume effect, minus €431 million, due to the COVID impact, partly compensated by our Recover and Adapt Plan; our usual cost-cutting plan of plus €131 million, as we were able to continue to implement our cost-cutting plan during the lockdown, we will achieve the €250 million target for the year; and the usual price/cost, with -- for minus €69 million. One more thing to mention is the contribution of the energy prices, plus €47 million in Europe, as a result of a hedging policy that we have put in place. We have sold above 90% of our electricity on January 1st, which is protecting this activity from the price drop we have seen in Q2. Let's review now in more details our activities by geography, and I start by France on Slide 25. Water volumes in France remain well oriented, if you take into account that the economy went down in Q2 by roughly 14% and overall, the water volumes were flat in H1. The water distribution activity has proven to be a very resilient business. And the tariff increase is in line with Q1, plus 1.5%. The impact you can see on the revenue is mostly due to the works associated with our contracts that have been stopped during the lockdown in France. Regarding our waste activities, as we said, the lockdown had a very significant impact in April. And we even shut down some of our sorting facilities, whilst we kept our essential services for collection, incineration and landfill in operation. May was better with the restart of all our operations. And June was much better, almost close to a normal month, as a result of volumes coming from waste inventory release that were brought by citizens to city facilities just after the lockdown and that were sent for final treatment afterwards. The EBITDA in France is significantly down by 22.5% with 2 main reasons: the drop in waste volume and the stop of the work in our French water operation. Let's move to the rest of Europe. I'm now on Page 26. As you can see, Central Europe was a very resilient business, plus 0.7%, that's constant Forex, which is remarkable, thanks to its municipal water concession and its district heating networks. Water volumes remain good in all countries, except in Prague, where the lack of tourism has a moderate impact. The U.K. experienced a sharp drop in C&I volumes, which represents more than 50% of the waste volume in that country. PFI projects, which make up most of the EBITDA, continued to run very well with an availability above 95%, meaning that the landfill volumes were down significantly, especially from low-value waste coming from construction and demolition. The C&I is catching up at 80% in July. Northern Europe, which is mostly Germany, was hit by the lockdown, and it's recovering quickly. Italy-Iberia are very stable in revenue because of essential energy services. The EBITDA of rest of Europe is down by 12.1% at constant Forex, which reflects the effects of the lockdown in all our European countries, mostly on our waste activities as well our lower on-site industrial services. I'm on Slide 27. The COVID effect was moderate on the rest of the world segment, with the revenue down by 3.7% for H1. And if you take into account the disposal of the district heating effect only, minus 1%, 1.1%. This is due to the rebound of Asia in Q2, where we are back to normal activity in June after a gradual recovery. Because of the impact growth, the region is growing by 4.7% in H1. Latin America came late in the crisis in wave 3 and has not yet recovered. But a majority of our activities is municipal, which explains the good resistance of the business. North America is almost flat at constant scope and Forex at minus 1.6%, in organic. Our people were able to compensate the loss of activities in refineries waste recycling by transforming low-value waste acid into surfactants for industrial clients. The municipal water activity was very resilient with no volume impact. Pacific, minus 0.5%, where the vast majority of our activity is waste management, experienced a volume drop in C&I, but compensated by better industrial services. In Africa, Middle East, Morocco has a very stringent lockdown, leading to significant drop of energy consumption. The situation is getting much better as we speak. EBITDA of the rest of the world is down by 27.8% due first to the disposal of the district heating in the U.S. at the end of last year; and second, with the impact of the crisis on a large part of our activities only partly compensated by the organic growth in some segments like for example, hazardous waste or district heating in China. I'm now on Page 28. Just as a quick reminder, our global business segment has mostly 2 businesses, construction and technology on one side with VWT and SADE; hazardous waste and industrial services on the other side. Starting by the construction activity, VWT was stable in H1 due to the 3 desalination projects in the Middle East that are compensating the lower activity in Europe. SADE is making 70% of its activity in public works in France and therefore was impacted by the strict lockdown in this country. It is now back to 100% activity because of the restart of all the construction sites in France. The hazardous waste business had a low [indiscernible] and is coming back step by step to almost normal activity, with today all the 14 incinerators that are running. The EBITDA, of course, decreased by 53.9% due to the halted construction works at SADE during the lockdown and in hazardous waste activities in relation with lower treatment volumes, but Q3 and Q4 look much more promising. I'm on Slide 29. You can see the translation of EBITDA into EBIT. We have the same effect as Q1 with EBIT variation in absolute value, as I said slightly higher than the EBITDA variation. This is due to the decrease in the contribution from our nonconsolidated JVs for minus €16 million. As Estelle showed you on the graph, June is also marking a turning point with water volumes in our Chinese concession up 7% compared to last year. Regarding the provisions, the variation is mostly coming from insurance provision, minus €20 million this year in H1, which is a cautious number compared to minus €7 million last year. I'm on Slide 30, where you can see the translation of EBIT into current net income. The cost of the net financial debt is improving by €6 million, thanks to the active debt management and the refinancing of our euro debt, which leads to €11 million savings. We will continue to experience this effect as we refinance our euro debt every year with a much lower interest rate. We issued 3 midterm notes this year with maturity between 8 and 12 years and coupons between 0.66% and 1.25%. For H1, this positive effect is partly offset by the cost of non-euro denominated debt. The share of our minority shareholders, minus €67 million this year, is going down in line with the net income reduction where we have minority partners. This leads to a positive current net income of €7 million for the first semester. Moving to Slide 31. Here are the details of the net income group share of minus €138 million, coming first from COVID-related very specific costs linked to the protection of our employees for €33 million; second, from noncurrent asset impairments in Latin America and Morocco for €74 million and some restructuring charges. I'm now on Slide 32. As I said, CapEx were well managed in H1, down compared to last year, whilst we maintain our discretionary CapEx at €128 million. The change in working capital was significantly reduced by €225 million compared to last year. This gives us a good free cash flow at the end of Q2 in line with last year, and a net debt reduced by more than €600 million versus June 2019 at €11.8 billion. On Slide 33, regarding our liquidity position, it remains very strong, even stronger than March 30. The cash available at group level is now €7.9 billion as we have issued 2 midterm notes in April for €700 million and in June for €500 million. We have already refinanced the 3 midterm note issuances of November, December and January next year, totaling €1.5 billion. We therefore have absolutely no liquidity issue. I'm on Slide 34. You can see the debt maturity schedule and see that we don't have anything to refinance before Q1 2022. On Slide 35, you have the details of the net debt variation compared to end of last year, with all the effects I have just mentioned. On Slide 36, you have the 2020 outlook. As Antoine mentioned during his presentation, our objective for 2020 is to recover our operational performance in Q4, and thanks to the new development that we have maintained, to start 2021 having offset the COVID impact. Thank you very much for your attention.
Antoine Frérot: Thank you, Claude. And we can now go to the Q&A session.
Operator: [Operator Instructions]. We have first question from James Brand from Deutsche Bank.
James Brand: I mainly wanted to just try and get a bit more idea over what the assumptions are around the comments that you've just made and have made several times in the presentation about ending the year on a similar kind of run rate to the one you ended 2019. And I guess obviously, one of the assumptions is not having a second wave. But in terms of how you're thinking about it, are you thinking maybe that there's going to be a sustained revenue impact or a sustained volume impact of 1% or 2%? I'm not trying to put words in your mouth, but of maybe 1% or 2% going into next year, that you've got the cost cutting kicking in and you've got some new projects kicking in and those 2 factors offset the volume impact. I'd be interested in kind of just getting a bit of a clearer idea for what assumptions you have going into that. And I guess obviously, pricing as well, you're saying that you haven't -- you've been able to maintain your pricing. But as I understand it on the waste business, the main price negotiations are often [indiscernible].
Antoine Frérot: So Estelle will answer your question.
Estelle Brachlianoff: Thank you. So first question on the objective by year-end, you understood well, which is we anticipate that there may be a few percent points of activity still missing at year-end. But thanks to all our efforts including the Recover and Adapt Plan, we intend to compensate those, therefore allowing us to target what we've told you today, which is basically EBITDA at the same level as 2019 in Q4, starting therefore the year '21 having compensated for all the impact of COVID. So you understood well, I'm trying to describe it in other words. In terms of pricing, you have the document. I'm trying to find back the pages. But it's 2 point -- 2.2% of price effects in the waste we've seen in H1, which we're very pleased. And if you see the compounding between Q1 and Q2, it was 2.4% in Q1, but it still is 1.9% in Q2, which is very good. So basically, we're maintaining this pricing strategy, which is aiming at pricing in terms of the value creation, of course. So have a look at what has value within the waste and price it differently from what has less value within the waste. And therefore, depending on the destination of it, if it's burned, if it's recycled or if you -- there is nothing else, then landfill it. So yes, we are very pleased to see that we've been able to maintain that in Q1 and Q2 and altogether in H1.
Antoine Frérot: Another question?
Operator: Next question from Emmanuel Turpin from Societe Generale.
Emmanuel Turpin: First question on guidance, your message on Q4 is indeed quite powerful and looks good for 2021. I would like to focus on bridging between now and Q4, so focusing on 3Q. We had a run rate of COVID-related losses, so to speak, of around €27 million in June. And what are you anticipating for Q3? And what are you seeing in July essentially? Should we expect some COVID-related losses tailing off as we go nearer Q4? Should we assume, I don't know, €25 million per month for Q3? Any guidance on that would be good. Second question, I noted that your guidance for EBITDA Q4 to be flat versus '19, was at 2019 Forex. Could you save us time and give us an idea of the mark-to-market of the Forex impact for Q4? And lastly, going below EBIT, would you mind steering us on maybe financial charges on specifically tax on minorities, taxes being sometimes a bit fickle when we have got disruptions of the nature that we had this year?
Antoine Frérot: Thank you, Emmanuel. Claude will answer your question precisely. But to be very clear for all of you, by reaching the operational performance in Q4 comparable to the same level of 2019, it is meaning, as Estelle explained, EBITDA at constant Forex. You have also now the Q2, the month of June. I give you the Q4. So the link between both will come from Claude, if possible.
Claude Laruelle: Yes. So to -- good morning, Emmanuel, and to answer your question about Q3, what we are anticipating. First of all, July, I would say roughly similar to June, so well positioned, as we have seen the rebound in June. No very big difference in July, some positive effect, as Antoine -- as Estelle mentioned in the U.K. So what we anticipate for Q3 is a couple of dozens of millions per month. We can't give you, of course, a precise number, but this is what we anticipate for Q3 going forward. To answer your question about the Forex, to me, if I talk about the Forex for 20 -- for Q3, Q4, the main impact could be the dollar and the pound, the British pound impact, the sterling. So quite difficult to forecast Q4, but if you have to take into account Forex, you have to take into account those 2 main currencies in terms of Forex impact. What we can say is a couple of dozens of millions of Forex for the quarter, for the quarter.
Antoine Frérot: Could be around €40 million, €50 million at the end of the year.
Claude Laruelle: Yes, for H2.
Antoine Frérot: For H2.
Claude Laruelle: For H2. In terms of -- you were talking about on minorities, and I guess your question is about JVs on -- so we don't anticipate much variation in terms of tax for our JVs. So no big differences in terms of tax, the contribution on net income from our JVs.
Antoine Frérot: Meaning, Emmanuel, that the EBITDA performance at constant Forex will naturally go down to current EBIT and current net income.
Emmanuel Turpin: Thank you for your answers. To put you on the spot, a quick calculation gives me, if I take a couple of dozens of millions per month in Q3, €50 million of Forex overall in H1 seems to point around €3.5 billion of EBITDA full year as a simple calculation. Is -- does that sound correct?
Antoine Frérot: It is not enough. Claude...
Emmanuel Turpin: I would review my math then.
Antoine Frérot: Exactly. We can't talk to you in detail about it, but I think we can -- we are more positive than that.
Operator: Next question from Olivier Van Doosselaere from Exane.
Olivier Van Doosselaere: I had three, if I may, as well. You had a good evolution in working capital in H1 versus what you did last year. I wonder to what extent you think you can retain that, or if you're tracking to reverse again in the second half of the year? Secondly, you mentioned how you think you still have some opportunities to further reduce your cost of debt in coming years, given refinancing. I was wondering if you could give us a bit of color on that one? And then finally, there were some press articles about potential disposals that you might do in the coming periods. I won't ask you to comment on those specific disposals on which you might be negotiating, but I wonder in general, how you see the appetite at the moment for M&A in the market? And maybe what type of assets are still in demand? And what type of assets might be more complicated to sell? That's it for me.
Antoine Frérot: For the working capital, Claude?
Claude Laruelle: Yes, I'll start by the working capital. So what we're seeing, we have a good level of working capital. And what we are is no big issue on payments. So what we expect is a reversal of the working capital with -- at the end of the year, as we have seen in the past years, so no big change in working capital management. Regarding the cost of debt, as you have seen, we have refinanced the cost a little bit early this year to take advantage of quite a good situation of the market, so the reason why we issued early in June, in April and in January this year. So we have a little bit of cost of carry this year. So if you have to see what could be the outlook is to have a little bit less cost of carry for next year. And then with the refinancing of our existing debt, you will have better an impact, good impact, a positive impact, in financial cost for 2021. And as we will refinance 2022, you have seen that we have 2 issues to refinance in 2022. We'll have, again, a better effect in 2022 as we have to refinance €1.3 billion in 2022. So positive for the euro cost of debt in 2021 and in 2022 compared to this year.
Antoine Frérot: About the rumor of U.S. water operational disposal, this disposal is not on our 2020 agenda. You know, Olivier, that the group is planning to divest around €3 billion of assets as part of the Impact 2023 strategic plan. And we can say that half of it will have been realized at the end of this year, but the timing of the assets remaining to sell have not been decided yet. And you know that given the very strong balance sheet we have today, there is no rush for us to proceed with asset divestiture too early. Another question?
Operator: Next question from Vincent Ayral from JPMorgan.
Vincent Ayral: I've got some issues over the queue, so I may have missed a few questions there. But I'll go back to guidance. Another way to look at it is I have in front of my eyes a consensus of €3.6 billion of EBITDA for the full year. I understand from your previous comment that €3.5 billion is a bit low. How comfortable are you with this consensus, especially knowing that? And the tone of your presentation seems to be fairly upbeat. So I would be interested in that. Second question is regarding the 2023 guidance. We see that the wording is evolving in Q1 and now in H1. Is it -- has it become unrealistic? Is it that you lost a full year of growth and it's non-achievable? Or is it depending upon basically the implementation of your asset rotation? How do you look at it? Is this an opportunity, this crisis at the end of the day, and it's too early to make a call on 2023? It's just for us to understand the momentum on this side of the equation. And finally, I think your slides were pretty good showing every month of momentum for every type of activity and where we were on volumes. So that was very, very useful, I would say. Now the question I have is regarding waste. And basically, you're back at 100% in France and Germany. Still lagging in the U.K., but there were some element of potential catch-up there. So what is the situation as we sit as of today? Has this catch-up finally gone through the system? Have we normalized? And if so, at which type of level?
Antoine Frérot: Okay. So Estelle will answer your third question. I will answer the second one. And Claude will begin with the consensus.
Claude Laruelle: Yes. Good morning, Vincent. Today, when I look at the analysts' forecast for 2020, I would say that it's a very wide spread. So I understand that for an analyst, it's difficult to make a forecast. But as you said, the average, the mathematical average, is around €3.6 billion. And for us, this order of magnitude makes sense.
Antoine Frérot: Thank you, Claude. And it is confirming, what I said, what we said to Emmanuel a few minutes ago. About Impact 2023 and what we could book at the end of this plan, I told you that our objective is to begin 2021 first, having offset all the consequences of the crisis on our actual business, so meaning the same level of profitability we had at the beginning of this year. Second, having maintained all our development projects, organic or financial, and even with some few months late, we will have the profit of this development as we forecasted. Third, in 2021 of course, we will be in a position to develop all our development projects of that year, meaning that we will have lost less than 1 year of -- on our global program through the crisis. Having said that, should we not be in a position to get the two months we lost until 2023? It is too early to answer to you. It is not impossible. So we will be precise on that in a few months from now because it is a bit too early. But you see what position we'll be, we will be, at the end of the year. And so we have the hope to be able to develop all our Impact 2023 projects until this end of program.
Estelle Brachlianoff: Regarding your third question, first, thanks for your positive comments on our graphs. In terms of the waste activity, you're right to say we've seen a very good rebound in June in pretty much all our geographies. U.K. was still lagging behind, but has reached something around 80% as we speak. So we already -- we still are seeing some missing volumes in construction and demolition waste in certain landfill or in the United Kingdom C&I as I just mentioned, but it's fair to say we are nearer to a normalization point. I guess is there some catching-up effect? Yes, there are some probably. How far or how long, how deep, it's difficult to say. As we speak, July so far has been on the same type of trend at June, except U.K., which is better. It's possible that in the end, we'll still be missing a few percent point of activities, as I've mentioned, in waste. Hence, the Recover and Adapt plan, which is here to compensate for the potential effect on our EBITDA and targeting to be coming back at a normalized EBITDA level at the end of the year. So we still have a bit of work to do, but work is on the way, plus the bouncing back is quite strong.
Antoine Frérot: Perhaps we have the time to take a last question before EDF begins its call.
Operator: Yes, we have one last question from Verity Mitchell from HSBC.
Verity Mitchell: It's Verity from HSBC, just a couple of questions. Firstly on M&A for second half, you've got a very strong cash and liquidity position. Are you thinking about continuing your modest acquisitions to try and achieve your guidance? That's the first question. And second is just a clarificatory point. Do you have any staff in France or the U.K. or other markets still under government furlough schemes? And just one quick third one. Can you just give us a bit of color about your Central European contract negotiations and what we should be expecting in terms of progress for them?
Antoine Frérot: European contract?
Estelle Brachlianoff: I guess on the second question, maybe if you could restate. If you say have we used the various furloughing schemes in various countries? Yes, we have, in Europe mainly, and the equivalent in the U.S., so the paid furlough, the CARES Act in the U.S. So yes, we have. The equivalent part of, in our €120 million Recover and Adapt Plan for H1, as we mentioned, around €50 million of it would be related to paid furlough supported by government schemes. So I hope it's your question.
Antoine Frérot: About the M&A during the second half?
Estelle Brachlianoff: So the M&A, so if your question is are we going on with our tuck-in policy? The answer is yes. Obviously, we haven't slowed down, and we are going on. It's not just to maintain our [indiscernible] because it's policy, easy to integrate, and it goes directly into the bottom line. So yes, we are going on.
Antoine Frérot: It is 9:00. Ladies and gentlemen, thank you very much for your presence on that call. Thank you very much. And of course, you know that our IR Department is at your disposal to any questions and precisions. Have a good day, and goodbye.